Operator: Welcome to the Chesapeake Utilities Second Quarter 2023 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Beth Cooper, Executive Vice President, Chief Financial Officer, Treasurer and Assistant Corporate Secretary. Please go ahead.
Beth Cooper: Thank you and good morning everyone. We appreciate you joining us today for Chesapeake Utilities' second quarter 2023 earnings call. As you saw in our press release issued yesterday, the Company delivered solid performance in both the quarter and year-to-date periods in 2023, despite the continued effects of warmer temperatures into the first half of the year across our operating footprint. Current quarter results also exclude the impact of a non-recurring pre-tax gain recognized in the second quarter of 2022, amounting to $1.9 million or $0.08 per share on a diluted basis. We will touch on the financial results in more detail in just a few minutes; but Chesapeake Utilities remains committed to delivering another year of record performance, executing on its growth strategy and driving long-term increased shareholder value. As shown on Slide 2, participating with me on the call today are Jeff Householder, Chairman, President, and Chief Executive Officer; and Jim Moriarty, Executive Vice President, General Counsel, Corporate Secretary, and Chief Policy and Risk Officer. We also have other members of our management team joining us virtually. Today's presentation can be accessed on our website under the Investors Page in Events and Presentation subsection. After our prepared remarks, as we typically do, we will open the call up for questions. Moving to Slide 3, I would like to remind you that matters discussed in this conference call may include forward-looking statements that involve risks and uncertainties. Forward-looking statements and projections could differ materially from our actual results. The safe harbor for forward-looking statements section of the company's 2022 Form 10-K provides further information on the factors that could cause such statements to differ from our actual results. Additionally, the company evaluates its performance based on non-GAAP adjusted gross margin and has provided the appropriate disclosures in accordance with the SEC's Regulation G. A reconciliation of GAAP gross margin to non-GAAP adjusted gross margin is provided in the appendix of this presentation and in our earnings release. Now, I'll turn the call over to Jeff to provide some opening remarks, including on the company's second quarter and the key drivers of our performance. Jeff?
Jeff Householder: Thank you, Beth. Good morning and thank you for joining our call today. We're reporting earnings per share of $0.90 for the second quarter and $2.94 for 2023 year-to-date. Warmer weather was a significant impact, $0.38 on a year-to-date basis, including $0.09 for the second quarter. Despite the warm weather and continued interest rate hikes, our team went to work looking for cost savings, margin acceleration, and other opportunities to overcome a significant impact of several million dollars. Today, we've recovered all the $0.10 per share. Keep in mind we also recognized a non-recurring gain during the prior period related to a real estate transaction that represented an $0.08 per share gain in 2022. Despite the challenges thus far during 2023, our fundamental growth strategy driven by the dedication and efforts of the Chesapeake team continue to be successful. As a result, our adjusted gross margin increased by $7.4 million over last year's second quarter. We've also initiated several new investment projects that meet the continued strong customer demand for our energy delivery services. And in addition, we have finalized several significant regulatory initiatives that are adding to margins and paving the way forward for substantial system investments over the coming years. During the second quarter, we deployed approximately $50 million in new capital investments, bringing our total spend during the first half of the year to just under $92 million. We continue to support the previously communicated 2023 capital expenditure guidance range of $200 million to $230 million. As an example of our continued investment growth opportunities, this week, we have received Florida Public Service Commission approval for our newest pipeline expansion to bring gas to the city of Newberry, Florida. We also began to recognize margin from two recently completed pipeline projects, the Beachside and Lake Wales expansions. Numerous other projects are underway, including the Eastern Shore natural gas Southern Expansion on Delmarva and an expansion in the Wildlight development in Nassau County, Florida, which we will highlight later. In addition to the Newberry expansion, the Florida PSC recently approved our GUARD program, which is the second phase of our comprehensive pipeline replacement program in Florida. GUARD will enable us to improved safety and deliverability for our Florida distribution systems through the relocation of mains located in the rear easements, the street side locations in front of customer premises. It will also allow us to replace and upgrade other system facilities, and Jim will provide more details on the GUARD program a little later in the call. Our long-term growth initiatives have provided an earnings foundation that serve to offset most of the volumetric impact of weather and the other cost pressures presented by the current economic environment, as well as overcoming the effect of the previously mentioned non-recurring gain in 2022. While weather has been a distraction, it has not tempered or damped at our expectations, in regards to achieving another strong year of performance. On Slide 5, we wanted to provide some additional color on weather, given its significant impact on volumes for the quarter and year-to-date periods. As you can see, each of our primary service territories experienced temperatures that were notably warmer, not just compared to last year but were unseasonably warmer compared to the last 10 years. In the Delmarva service area, heating degree-days were 20% lower compared to the first six months of 2022 and 24% lower compared to normal levels. In Ohio, temperatures were also more than 13% and 15% lower than year-to-date 2022 and normal levels, respectively. And while we're not as dependent on heat load in Florida, Heating Degree-Days were down by over 30% in the year-over-year and 10-year normal comparisons. Again, the team did an excellent job to overcome these warmer temperatures by remaining focused on our growth initiatives and cost mitigation efforts. These efforts will continue through the remainder of the year with a focus to restore as much as possible of these earnings. Significantly colder temperatures later in the year would certainly be a big help. Turning to Slide 6, let me provide some updates on our key growth drivers. First, we continue to experience organic growth in our natural gas distribution businesses that far outpaces the national average across both of our Delmarva and Florida service territories, customers continue to select natural gas as their preferred energy choice. For the quarter, we saw a 5.5% increase for our Delmarva service territories and a 4% increase in Florida. This continues to highlight the attractive nature of the communities we serve. Given the magnitude of questions we get around the growth rates we achieved and the runway for continued growth, I want to highlight just two of the many areas driving our customer growth rates, Middletown, Delaware and Wildlight in Nassau County, Florida. The magnitude of the customer growth in our distribution businesses is also continuing to drive the need for additional investment in our transmission systems. As I mentioned previously, several of our pipeline projects generated margin for the first time in the second quarter. We also continue to make headway with other projects, including our Wildlight expansion, and we added the Newberry project to our major projects table this quarter. These projects and others will deliver significant margin growth in 2023 and beyond. And while warmer temperatures impacted volumes in our propane business into the second quarter, our Sharp team did an excellent job managing margins and service fees, especially in our northern service territories. Beyond the customer growth we've secured in natural gas, we continue to add new propane community gas systems where natural gas is not yet available. As a highly desirable energy choice for our customers where natural gas is not yet available, propane remains a core component of our growth strategy. Marlin Gas Services continues to drive solid growth for the company. As our vertical pipeline solution, Marlin serves our customers with gas transportation services that solve unique and complex challenges, including service to clean energy in Florida that we mentioned on our last call. Marlin's vertical pipeline solution is delivering compressed natural gas to their fueling station. Finally, we continue to advance several sustainable investment projects. We're being disciplined and cautious in our approach. We recognize the evolving nature of the renewable natural gas markets and the regulatory constructs. We've initiated the construction on our first full-scale renewable natural gas facility at the Full Circle Dairy farm in Madison County, Florida, and we remain on track for that unit to go into service in the first half of 2024. On our last call, we also discussed our participation on a collective team, comprised of commercial, governmental, and educational institutions that submitted the proposal for a MACH2 Hydrogen Hub in the Delaware, Philadelphia, and Southern New Jersey region. About several weeks ago we participated alongside some of our team members in an interview with the Department of Energy, our proposed hub is one of a 11 finalists, vying for funding to both hydrogen development and deployment across multiple uses. We're excited to work with these partners and, further, it is in our mission to deliver energy that supports a more sustainable future. Back in May, we unveiled some drone footage of the growth within our service territories on the Delmarva and in Florida. The footage has been well received and clearly demonstrates the current and future runway of growth that our service territories provide. We recognize that we need to spend more time showcasing our service areas and future potential. For that, I'm going to highlight one such area in Delaware and one in Florida. These are only a few of the many areas that are experiencing high levels of growth. Middletown, Delaware was recently ranked by Fortune.com as the Fifth Best Talent in the U.S. for Families. Housing developments, commercial growth, and related infrastructure continue to build out at a fast pace; the nine schools, for example, being built in the last 10 years. More recently, this town was selected for a new pharmaceutical manufacturing facility that will drive hundreds of jobs. This is the company's second facility in the United States. As part of their manufacturing process, we will provide natural gas service to their plant and the expectations for the facility to begin operations, sometime in 2025. While we tend to talk about residential developments comprising hundreds, maybe thousands of homes, you need to think about growth at mass scales when we talk about Wildlight. Located fundamentally from the beaches of Amelia Island and Jacksonville, Wildlight is expected to be constructed over the next 10 to 20 years and will comprise approximately 22,000 homes. Our FPU distribution system is positioned to meet the growth from these residential customers as well as from the surrounding commercial infrastructure being constructed, including schools, businesses, medical facilities, and so many more. The methane/natural gas distribution, Peninsula Pipeline also had to construct additional facilities to serve demand on the distribution system. Before I turn it over to Beth, on Slide 8, I wanted to highlight several examples of pipeline expansions driven by distribution system growth. On the Delmarva, one such example is the Southern expansion. We're installing a new natural gas compressor skid at our existing Bridgeville facility that will provide additional transportation capacity to support our own distribution system demand as a result of the significant growth in Southern Delaware. This will go into service in the fourth quarter and generate $2.3 million of adjusted gross margin on an annual basis beginning in 2024. Next, I just mentioned the Wildlight pipeline expansion which supports the distribution system growth recover on the preceding pace. Another key Florida pipeline expansion project is the proposed $18.1 million expansion of Newberry, which brings natural gas to this town in Central Florida. In addition to capturing new natural gas growth from residential and commercial customers, we will be converting the town from propane to natural gas service. There are other commercial and industrial opportunities that we're also exploring which would add incremental adjusted gross margin beyond our current annualized estimate of $2.9 million once fully in service. And with that, I'll turn the call over to Beth to discuss our results in more depth. Beth?
Beth Cooper: Thank you, Jeff, and good morning again everyone. Turning to Slide 9, I'd like to begin by saying I am proud of the things that we continue to accomplish as an organization and our performance relative to our peers. Now, I'll provide some additional details on our results for the second quarter and first six months of the year. As Jeff mentioned, diluted EPS for the second quarter of the year was $0.90 compared to $0.96 during the prior year, which included warmer weather that impacted EPS by $0.09, the impact of the $0.08 gain related to real estate, and higher interest costs of $0.05. We overcame $0.16 of the cumulative $0.22 impact. Adjusted gross margin and operating income for the quarter increased by more than 8% and 7%, respectively, both relative to the prior-year period despite the weather impacts. The key factors shaping the growth of our adjusted gross margin during headquarter included contributions from new permanent base rates that went into effect in Florida in March and incremental contributions associated with regulated infrastructure programs, organic growth in our natural gas distribution businesses, higher fees and margin per gallon in our propane business, new pipeline expansions, and increased demand for our virtual pipeline solutions including compressed natural gas and renewable natural gas. Consistent with the conditions that we saw during the first quarter, our consumption was impacted by warmer weather, which partially offset the overall adjusted gross margin growth. However, on a year-to-date basis, weather has had a more significant impact on our results. While our diluted EPS came in at $2.94 during the first six months of 2023 compared to $3.04 during the prior year, the current year results reflect a margin impact of approximately $0.38 attributable to the significantly warmer weather experienced throughout 2023. Overcoming $0.28 of this impact through growth was a monumental task by our team. On Slide 10, our financial summary shows that adjusted gross margin increased $7.4 million and operating income increased $1.9 million for the second quarter. Interest expense was almost 20% higher during the current quarter as the effects of the rising rate environment experienced during 2022 were more impactful during the second half of the year and, unfortunately, continue to linger into 2023. Again despite these headwinds, EPS for the second quarter of 2023 was just $0.06 lower than the second quarter of last year; and more importantly, on a year-to-date basis, the impact was only 10%. This performance continues to highlight the resilience of our team, who continue to stay focused on our long-term growth initiatives and strategic plan. Moving to Slide 11, let me provide some additional insight on our EPS walk for the quarter. As mentioned now several times, we recognized a gain related to real estate rationalization in the second quarter of 2022 of $0.08 per share. Our core businesses, excluding the continued impact of weather, provided additional margin contributions that increased earnings by $0.42 per share. We previously touched on the key drivers of this growth. Although to a lesser degree than the first quarter, weather continued to partially offset this growth through reduced volumes, representing approximately $0.09 for the quarter. Higher operating expenses tied to our core business drove a $0.17 impact or just 40% of adjusted gross margin. While this is reflective of our continued focus on cost management, I want to remind everyone that had weather been consistent with historical averages, operating expenses would have been higher for both the quarter and year-to-date periods. At a minimum, incremental volumes would have required incremental expenses tied to such volumes, particularly in the propane businesses. Higher depreciation, amortization, and property tax costs resulted in a $0.03 impact. And, finally, increased interest expense and other changes together resulted in an 11% cumulative impact compared to the same quarter last year. On Slide 12, we provide a bridge with regard to our year-to-date performance. The primary drivers are similar to what we just covered for the quarter, so I won't walk through all the details, but I did want to note a few key items. First, the year-to-date period includes a $0.07 increase related to the one-timed asset associated with a decrease in one of our state tax rates. This serves to largely offset the absence of the real estate gain from the prior year. Second, weather was much more impactful on our year-to-date performance. The historic temperatures experienced during the first quarter along with the continuation of warmer temperatures into the second quarter have impacted our results by $0.38 per share relative to the prior year. As you can see on this slide, the weather impact cut into the core business growth contribution of $0.84 per share year-to-date by 45%. So, with that said, we generated EPS within $0.10 of the prior year or approximately 3% with temperatures that were 20% warmer than 2022 in our northern service territories. This further demonstrates the dedication of our team and that the fundamental growth strategies are delivering results that will drive future long-term earnings. Moving to the next two slides, let me touch on Chesapeake Utilities' operating segments. As you can see on Slide 13, adjusted gross margin was up 9.4% for the quarter and 7.3% year-over-year for our Regulated Energy segment. Operating income was also higher in both periods by double-digit growth rates, up 13.4% and 10.5%, respectively, and driven by new rates associated with our Florida natural gas base rate proceedings, organic growth in our natural gas distribution systems, including propane CGS conversions, transmission pipeline expansions and, finally, incremental contributions from our various infrastructure program. Turning to Slide 14, adjusted gross margin for the Unregulated segment increased 4% for the quarter and was relatively constant with the prior-year period. At the operating income level, the combination of the significantly warmer temperatures experienced throughout the year and the fixed operating expenses that are inherent in those businesses resulted in a decrease of $1.6 million and $4.4 million for the quarter and year-to-date periods, respectively. As our capital projections remain on track, as our strategic plan continues to support strong capital investment in the future, I'd like to highlight some of the details on our strong balance sheet position. As shown on Slide 15 and as mentioned last quarter, the $80 million of 15-year senior notes that we issued in March allowed us to reduce short-term borrowings considerably. With a short-term debt balance of just under $96 million, we have been able to mitigate some of the continued effects of the raising interest rate environment. We locked in the interest rates for $50 million of the short-term debt balance, utilizing a three-year swap that we executed several months ago. At the end of the period, total capitalization was approximately $1.63 billion. This included 53.2% stockholders' equity, 40.9% long-term debt at an average fixed rate of 3.89%, and only 5.9% of short-term debt, given the long-term debt financing I just mentioned. You will see us continue to execute financing plans that facilitate our growth while also maintaining our financial discipline and targets that have yielded our top quartile performance over the last 10-plus years. Moving to Slide 16, we highlight our major projects, including the pipeline expansions, CNG, LNG, and RNG transportation projects, and strategic regulatory initiatives, which will drive our adjusted gross margin growth this year and next. As always, we remind you that this table does not include organic growth and it is not indicative of all the projects that we are evaluating and pursuing. We continue to be encouraged with the opportunities that are presented by our business development team and look forward to announcing other projects in the future. Combining these initiatives are expected to add more than $21 million in 2023 and approximately $8.6 million in additional margin in 2024. As new projects or initiatives are announced or finalized, we will add them to this table. Moving to Slide 17, we highlight our key pipeline expansion projects and the increased level of activity, projects to be completed as well as projects that will be partially constructed this year. With an investment of approximately $83 million, these projects are expected to contribute more than $11 million in adjusted gross margin once completed. With that said, I would like to finish by acknowledging the efforts of our team year-to-date. Standing together, we remain committed to achieving our long-standing track record of year-over-year earnings growth and delivering industry-leading performance. The diversity of our operations, strong organic growth, a pipeline of investment growth opportunities, regulatory innovation, and our talented workforce will continue to drive increased financial performance for our stakeholders. I will now pass the call to Jim to discuss our regulatory and company culture update. Jim?
Jim Moriarty: Thank you, Beth, and good morning. It is great to be with you all. I would first like to highlight some of our recent regulatory activities. As we have already mentioned, the outcome of the Florida rate case was significant on many fronts, including financially, as well as serving to simplify our business. The second quarter of 2023 was the first full quarter with permanent rates in effect. With a full year of permanent rates in 2024, you should expect to recognize close to the $17.2 million projected margin impact. Building off of the process we followed in Florida, we're preparing for our upcoming Maryland filings. We're required to file a rate case in early 2024 for our Maryland division and Sandpiper Energy. We will look to build on regulatory strategies and lessons learned from Florida, as we prepare these filings. I would also like to provide a little more context around the approval of the GUARD program earlier this week by the Florida PSC. As shown on Slide 19, this projected 10-year program is expected to represent $205 million of additional capital investment, including $8 million of investment in 2023, which is reflected in our capital forecast. For 2024, we are projecting $20 million of capital investment, which is reflected in our long-term forecast that will result in $1.4 million of margin in 2024. GUARD, combined with our other infrastructure programs like our Electric Storm Protection Plan, Eastern Shore's Capital Cost Surcharge plan, and our planned investments by Eastern Shore to meet the new PHMSA requirements demonstrate the importance that our regulatory approaches play in maintaining safe and reliable service and, secondarily, contributing to margin growth. Turning to Slide 20, I also wanted to take a few minutes and highlight our most recent sustainability reporting initiatives. During the second quarter, we published our second Sustainability Report, which is available on our website. Within this report and without covering all the detail, we reported an emissions decrease of 16% as compared to 2019 and enhanced our disclosures on multiple fronts, including human capital management, diversity initiatives, our new Giving Policy, our safety and enterprise risk management programs, and new data tables. In addition to the full sustainability report, we also prepared summary and highlight reports and rolled out a multi-week social media campaign discussing key updates and milestones since our inaugural report. These efforts reflect our long-standing and continuing focus on sustainability. You have heard us speak many times about our commitment to safety. It is the first and most foundational organizational imperative: protecting people, safeguarding our communities, and securing our assets are at the heart of our operating culture. Reflecting the safety culture and commitment, three Chesapeake's subsidiaries earned American Gas Association awards in late May. Florida Public Utilities Company and Eastern Shore Natural Gas Company earned the AGA Safety Achievement Award, which is given to companies that demonstrate outstanding commitment to employee and vehicular safety. In addition, Aspire Energy of Ohio was named an AGA industry leader in Accident Prevention for achieving a DART rate, which is Days Away; Restricted; Transferred, lower than the industry average for local distribution companies. DART is a metric used by the Occupational Safety and Health Administration to measure the impact of workplace injuries. With that, It was great to be with you all today, I will now turn the call back to Jeff for some closing comments.
Jeff Householder: Thanks, Jim. Turning to Slide 21, I want to reaffirm that we remain on track with both our long-term capital guidance of $900 million to $1.1 billion for the 2021 to 2025 period and this year's expectations for $200 million to $230 million. Capital guidance continues to support our earnings guidance of $6.15 to $6.35 per share in 2025. Earlier this week, we reviewed our latest strategic plan update with our Board. We discussed a number of additional investment opportunities before us. We expect to issue updated guidance in early 2024, inclusive of these new opportunities. Our capital plan includes cyclical growth in vessels, including organic distribution system growth, pipeline expansions, and the reliability infrastructure programs as well as our new technology platform to more than $50 million of projected investments. As discussed previously, we're upgrading our utility customer information and billing system. We've established and accomplished team that will help us undertake this monumental task, including partnering with SAP and IBM. Over the next few years, we'll also implement our new work management and dispatch system as well as our financial ERP system. The customer growth we've experienced along with our expectations for the future has necessitated the need for an enhanced technology platform that will leave us well prepared to deliver a high level of service to our customers. We also see these technology upgrades as significantly transformational and enabling us to accelerate, standardize, and enhance the way we deliver service to both stakeholders, internally and externally. Moving to Slide 22, you can see that historically we have achieved just under 10% annual earnings growth and dividend growth since we initiated guidance in early 2018. As many of you know, our dividend growth has been supported by our earnings growth. We adhere to that principle, enabling us to grow our dividend faster while retaining approximately 55% of our earnings and reinvesting that back into the business to fund future growth. Assuming we achieve the EPS guidance of 2025, our compound annual earnings growth rate since issuing guidance would be 8.5% to 9.0%; and that's something the entire team of CPK is very proud of. To conclude on Slide 23, we continue to be excited by the prospects for future investment in our traditional energy delivery businesses, driven by customer demand in the communities we serve. Our foundation for sustainable growth remains strong. We're also excited about our recent investments to bring renewable natural gas into our system, including our novel world pipeline project in Ohio, our acquisition of Planet Found in Maryland and our in-flight Full Circle Dairy waste to RNG projects in Florida. These power projects demonstrate our commitment to a more sustainable future. Strength of our balance sheet will enable us to capitalize on future opportunities across the value chain as they present themselves. With our diversified operations, our talented team, a strong financial position and a robust pipeline of opportunities on the horizon, we remain well positioned to deliver long-term record performance well into the future. And with that, why don't we all turn up for questions.
Operator: [Operator Instructions] Our first question comes from Tate Sullivan with Maxim Group.
Tate Sullivan: Hello, thank you. Middletown and Wildlight, thank you for the detail. I mean, putting it into context, I mean, these are just one of the many projects in both Delmarva and Florida. It appears just based on the Slide 17, with the pipeline projects, that there could be a meaningful part of the growth going forward. Or can you put it more into context?
Beth Cooper: Sure. So, good morning, Tate. Great to hear your voice. One of the things that kind of became very clear -- as we were headed into the AGA, we've been talking a lot about our growth -- is actually we needed to put a picture and be able to show those areas that we're talking about. And so, it really began, as Jeff talked about, with us creating some drone footage, and I'd love to jump on the phone and I want to walk you and be able to show you that drone footage. But then, we also saw, let's start to highlight some of those areas. So, in the north, Middletown is actually a community that is not even in the beach areas that you will hear us talk about, where there's a lot of growth going on. Middletown is basically a little -- almost in the middle, a little north of the middle of the State of Delaware, but it has been a pretty high growth area because it's a community that's outside of Wilmington but it's where a lot of people live and commute to Ludington, to Baltimore, Philadelphia et cetera to work. And so, there's been a tremendous amount of growth. But keep in mind, it's far distanced from other areas at the beach that we're having exceptional growth at as well. So, this is only one. In Florida, it's the same thing. We actually picked the Wildlight community to show just because that community is so large and by the time that it's done beyond just the residential development, there's going to be substantial commercial infrastructure. But, again, we could show you communities -- in the drone footage, we actually show a community in Central Florida, we show a community in Southern Florida. So, these are just examples, but we're trying to provide more opportunity for you to see where the growth is occurring and that there's is a long runway into the future.
Tate Sullivan: Yes, it's great examples. And then, just on the pipeline page, page 17, in the presentation. Related to the '25 guidance, the expanded infrastructure from Newberry, is that not in '25 EPS guidance currently? I think Newberry is related to Wildlight. Is that correct?
Beth Cooper: No, Newberry is actually not related to Wildlight; it's actually left to Wildlight on the map. And so, it's a new expansion. Keep in mind, though, Tate, as we're developing our five-year guidance, both from a capital standpoint and an earnings standpoint, we are looking at projects way before they're being announced. And we are thinking about where expansion is likely. So, as we've created that capital guidance that's out there through 2025 and the earnings guidance, there is some level of projects that we feel have a high probability of occurring. So, that is inherent within that current capital and earnings guidance.
Tate Sullivan: And then, the Southern Expansion project, is that expansion related to supporting Middletown partly as well?
Beth Cooper: No, it's actually further south; it is supportive of growth that would be is happening in that Southern Delaware area, surrounding those each areas into Maryland growth that's happening there. So, Middletown is much more Northern in the State of Delaware. The Southern Expansion, which is at Bridgeville, is somewhat west of the growth that's happening in Sussex County, but there's a lot of growth that's starting to come westward from the beach area. So, it's supporting all of the Delaware divisions growth in the southern area. And I'd be happy.
Tate Sullivan: Okay. That's great examples adding color. Yeah, we'll talk to -- Great example of adding another industrial customer too with Middletown.
Beth Cooper: Yes, it is. And actually, there is a lot of commercial development that's going along -- coming up in that area as well. And so, I think as you start to see that manufacturing facility, there'll be some potential other facilities that may also develop to surround it.
JeffHouseholder: Hi, Tate, this is Jeff. Just to add other another little factor in all of this. I guess, in the Newberry example, that was - that's the town right outside of Gainesville, Florida. They never had natural gas service before. And we had an underground propane system there serving a variety of customers. And so, the town has literally been approaching us for the last several years, asking us to get natural gas service there. So, it's reflective, I think, of a couple of things. One is the continued demand for natural gas service on the part of consumers and the fact that we have once again found a way to take our propane operations well into a facility or go into a town before we can get natural gas pipe there, serve customers, generate demand from the service, and then come along later and convert those propane customers to natural gas. So, it really I think is reflective of kind of a larger picture that we see across our distribution systems. We're not in heavily in urbanized areas and that has led to significant opportunities for expansion, as people continue to move into being smaller communities like Middletown of the surrounding urban areas of Philadelphia and Wilmington, as Beth mentioned.
Tate Sullivan: Thank you, Jeff. Thank you, Beth.
Operator: [Operator Instructions] Our next question comes from Brian Russo with Sidoti.
Brian Russo: Hi, good morning.
Beth Cooper: Good morning, Brian.
Brian Russo: Hi, just the customer growth, 5.5% in Delmarva, 4% in Florida, I think that compares to last quarter of 5.4% in Delmarva and 4.4% in Florida. I mean, is there any read through there or is it just kind of getting too granular on a quarter-to-quarter type of change?
Beth Cooper: Too granular, Brian. Just because -- even if you take for example the Wildlight community, there's so much growth that's going to happen. But the number of individual customers that can get added in one quarter versus the next, it might be up or down a little bit; but it's really not, for example, going to signal anything because there is a tremendous amount of growth that's still coming. So, I think looking over the long term -- but again, as we've talked about right now, there's been really no slowdown. We keep monitoring that. Wondering with the current economic environment, are we going to start to see that, right. And so -- but we have not yet. Homes have continued to sell, new communities are continuing to evolve, and we had a couple of community gas systems that we're adding as well. Growth is still occurring in all of our service territories.
Brian Russo: Okay, got it. Newberry -- you mentioned kind of your footprint, you're not in heavily urbanized areas. I mean, how many Newberry-type opportunities do you guys potentially have to convert propane to gas?
Beth Cooper: I wouldn't say there is a lot. I think there are communities from time to time. I mean, that was Ocean City, Maryland, back when we bought that in 2013. Ocean City, Maryland; Ocean Pines, Maryland; Newberry, Florida. There will be one, but -- I mean -- that's a 10-year span to be candid when you think about a community, Brian. So, I wouldn't say that there are lot. So, I think there are selected pockets. Just -- there are certain areas within Florida where there may be an opportunity. There's less so now on the Delmarva Peninsula. I know there's one or two in suburban Maryland. But, at this point, it hasn't made sense to convert them yet. But I don't think there's a lot. Jeff, if you have anything, you'd want to add?
JeffHouseholder: No, I think -- Hi, Brian, I mean, we are pretty opportunistic about our goals related to natural gas service. And in a state like Florida, and frankly in Delaware, we see the same thing. The population growth has been so significant. I mean, we're still looking at a 1,000 people a day moving into Florida, for example. And so, these sort of bedroom communities like Newberry serves that role. There's a little bit outside of Gainesville, Florida. They are continuing to develop and we're continuing to see people move into those communities. So, it offers opportunities. We may not have that many brand new towns that we can drill and serve as we're doing with Newberry, but there's still a significant amount of development in areas where we have nearby facilities.
Brian Russo: Okay, great. And then, switching to the propane side, you mentioned, volume is down obviously because of weather. What were the margins like? And then, also, what are your criteria when evaluating complementary or bolt-on acquisitions to the existing business?
Beth Cooper: Great questions. So, we have continued -- one of the things that's been beneficial both in the first and the second quarters has been beneficial. We can look at it depending on which side of the mouth, right, you're talking out of. But what tends to happen is in lower volume quarters as we've talked about, I would say, there's less movement in terms of prices coming downward as quickly. And so, we have been able to retain some of the margins as we've gone into the spring and the summer months, and that continued into the second quarter. In regards to your second question about acquisitions, we look for opportunities on several fronts. Number one, is there an opportunity to add something into our existing operation right and create synergies when we acquire something. Number two, can we go into a high growth area like we did in the North Carolina and particularly in the coastal areas of those in North Carolina; high growth areas; natural gas isn't there; it's an opportunity not only for us to come in but to bring our programs, to bring AutoGas, to bring our community gas systems. So, we're going to look at an opportunity, Brian, where we can add our services and what we bring to the table. And then, certainly, we're going to look at it from a financial standpoint, is it earnings per share -- we want it to be earnings per share accretive out of the gate. And then, secondarily, we want it to achieve our target return over the respective period of time that we provide. And so, those are typically the criteria. Jeff, I don't know if there's anything else you want to add. But that's some of what we look at.
JeffHouseholder: Just a couple of things. We're also looking for cultural fit between the organizations. We're looking for political and regulatory states, where we believe that we will find a welcome in the state. We're looking for integration ease. We're looking at technology issues, where we can bring something to the table, especially in some of these smaller propane operations; all of those sorts of things, the business model that we're inheriting; can we live with that; is it consistent with what we're already doing, or can we bring something to the table when we modify that models to look more like what we do typically at Chesapeake. So, it's all of that plus -- and, obviously, we're looking at a whole list of operational risk and the other things that -- as you would expect, we'd be doing environmental issues all of those issues.
Brian Russo: Okay, great. And then, lastly on the Florida GUARD program, right, which before today was to be determined right where that margin would be so that's incremental to that margin slide. The $205 million over 10 years and the $1.4 million of 2024 margin. I mean, is that linear -- every year, you will generate that type of earnings or is it a neutral margin or does it ramp up or are there some other mechanics that we should be aware of when looking post 2024?
Beth Cooper: I think looking at it, linear gives you a good base. But I think if you go back and look at our GUARD program, depending on what other projects we have going on, how many pipeline expansions, how many other projects, where are resources being dedicated, you could see some spikes up and down depending on what else is going on from a growth standpoint and what other projects that are happening. But, I think, for purposes of your model, using that as a base from which to start, Brian, I think is a good place to go.
Brian Russo: All right, great. Thank you very much.
Beth Cooper: Thank you.
Operator: Thank you. At this time, we have no further questions in queue. I will now turn the floor back over to Jeff Householder for any additional or closing remarks.
Jeff Householder: Thank you. And I want to thank everyone for joining us this morning. We appreciate your time and we appreciate your continued interest in the company. Good bye.`
Operator: Thank you. This concludes today's Chesapeake Utilities second quarter 2023 earnings conference call. Please disconnect your line at this time and have a wonderful day.